Deborah Honig: All right. I think we can get started. Good morning, everyone. Thanks for joining us. We have an update from Microbix to discuss the Fiscal Q1 2026 Results. A sequential improvement quarter-over-quarter, so starting to see a rebound in company progress after 2025, which we all know is a bit of a down year due to events outside the company's control, but things seem to be tracking in the right direction. So here to tell us more about that, I have Cameron Groome, CEO; Jim Currie, CFO; Ken Hughes, COO. We won't be working off a presentation today. We will be finalizing the presentation with the Q1 numbers. So you can expect to see that online either later today or tomorrow at the latest. And we will have a Q&A section. So feel free to enter questions in the Q&A box. And again, not working off a presentation, but we are going to talk about forward-looking statements. So if you'd like to know more about those, you can find them on the presentation on the company's website. With that all out of the way, I'll hand the mic over to Cameron, who I think is going to give us a little bit of a review on the quarter.
Cameron Groome: Thank you. Good morning, Deborah. Thank you, Deborah and everyone. Deborah, you didn't want to spend 5 or 10 minutes reading through a detailed safe harbor statement.
Deborah Honig: Yes, I would love to. Should I pull it up? Is everyone...
Cameron Groome: Sure. Why don't we assume it's been read, and we'll refer to the one in the quarterly disclosure and leave it at that.
Deborah Honig: Yes, everyone can go back to bed, my interpretation of it.
Cameron Groome: Okay. Well, pleased to announce our results for the first quarter of fiscal 2026. That is just to remind everybody, the 3 months ended December 31, 2025, as we operate on a September 30 fiscal year. The results for Q1 reflect the start of our ongoing work to recover our sales above our engineered breakeven point following the disclosed setbacks with 2 large clients in the second half of fiscal 2025, as you were describing, Deborah. Our revenues came in for Q1 at $4.2 million for the quarter, and that's up 13% from the prior quarter and in line with our budget expectations. And that revenues, we recorded a controlled net loss for the quarter of $1.2 million, using up some of our substantial cash reserves. And we continue to view this as a tactical setback, not necessitating a change in the strategic direction of the corporation, whereby we're building our revenues with the test makers, with the PT/EQA providers, that's the proficiency testing and external quality assessment agencies that support the quality of lab testing and with the clinical labs themselves, and we have a growing portion of revenues that are more widely distributed, which is a positive for the business as we've seen what you can experience with customer concentration issues. I'll shortly ask Jim to go into some more detail about our Q1 results in terms of the composition of sales, our margins, our costs and our uses of cash, followed by Ken, who will touch on our operational progress. But first, I just want to highlight some of our recent disclosures. Across Q1 -- and just before I get into the disclosures, I'll just emphasize that our policy is to disclose things once they are signed, sealed and delivered. We do not typically disclose projects that are not either generating -- already generating revenues or have formal agreement associated with them. So that's our watermark or waterline there on which we surface and discuss things. So just when you see these news release disclosures that are often written as much to highlight our progress to potential clients and our reach and sophistication, these are things that are done, and I'll just want to reemphasize that. In across Q1, the September -- October 1 to December 31 period, you've seen us disclose some announced new clients and new client programs in the molecular pathology and point-of-care genetics testing field. So again, taking us continuing our moves to support oncology-related testing as well as genetics-related testing to add to our addressable markets and add to our long-standing expertise in the infectious disease space. So those programs announced in the fall as well as 2 further test maker relationships, one in the United States with Sekisui, supporting a point-of-care testing system and another with Seegene in Mexico beginning with support for cervical cancer screening program. So again, this is Microbix continuing to prove our growing thought leadership and our reach across the industry with each of those programs linked to immediate sales, as I referenced earlier. I'll have some further comments as well about client programs and what we've announced just since the new year. But let me first ask for Jim's comment and further color on our Q1 results. Jim, if you'd like to go ahead, that would be great.
James Currie: Sure, Cameron. Thank you. Yes, Q1 was a sequential growth quarter. When compared to last year, we saw a rather significant decline in revenues of 30%. That, however, was a result of predominantly the lack of sales through our distributor in China. And that was -- the differential from quarter-to-quarter was over $2 million. So that's where we saw a rather significant decline in our antigen business, which was down 49% because of that lack of revenues. Now without that, lack of Chinese distributor revenues. The rest of our antigen business was actually up 5% for the quarter -- quarter-over-quarter. Antigen business -- sorry, the QAPs business was up at $1.9 million, a 15% improvement over last year. And so combined, we saw $4.2 million worth of revenue for the quarter. Gross margins, again, disappointing in comparison to last year as well as expectations. This is a result of the fact that we've got fewer products going through production with the lower sales, absorbing a similar level of fixed overheads. As we move towards our sort of breakeven point of in excess of $5.5 million, we'll start to see the margins improve as well as our profitability level. Operating expenses for the quarter were at or below expected levels as we continue to try and keep control of our costs during these quarters as we lead up to quarters with more significant revenues. On the -- Cameron talked about the cash flow consumption during the quarter. Most of that was a result of timing of receivables and collections of receivables. We finished Q4 with a fairly low level of receivables. And for the end of Q1, it was a high level. So -- and in fact, during January, we received payments of $3.3 million and our cash balance at the end of January was $10.6 million, so up $1.5 million from our closing at the end of December. So $3 million is not what we expect to see on an ongoing basis for the consumption of cash. From an inventory standpoint, inventory was still relatively level as we retain stock of predominantly finished goods to support our antigen business as well as the growth in our QAPs business. And that's about all I've got to cover off on the financial side for right now.
Cameron Groome: Well, thank you, Jim. I'll take a few moments now to just discuss the disclosures we've made thus far in 2026. Now in January, we provided an update on our recombinant antigens program. And that's creating the ability to synthetically make the test ingredients, the antigens as well as our long-standing expertise in creating native antigens from actually culturing viruses and bacteria and so forth. The ability to make those ingredients is synthetically is very important. Our team, as we announced in January of 2025 and then updated in January of 2026, our team successfully onboarded these important technologies. And in January, what we announced was our first commercial product resulting from that, and that's the SARS-CoV-2 viral capsid antigen, which is now actively being used in our QAPs, in our own products, and that strengthens our supply chain, improves our margins and we'll ultimately be adding that product to our and other recombinant products to our catalog of test ingredients that we can sell more broadly. So very successful outcome on that program. Also earlier this month, February, we disclosed progress in our QAPs business as it relates to our PT/EQA clients. These are the proficiency testing and external quality assessment agencies that regularly challenge the clinical labs with programs to which they subscribe with our test patient sample mimetics, so that tests can be checked that a positive is a true positive and a negative is a true negative. The first program we disclosed was progress with our QAPs oriented towards molecular pathology. This is the combination of traditional pathology methods looking at cell type and confirmation with PCR or other molecular testing to look for genetic signatures and improve the accuracy of certain diagnoses, specifically related to cancers and infections that may cause granulation cyst that could look like cancer. That work was presented at Labquality Days in Finland, one of our PT/EQA important clients. Closer to home, we're also very proud to be permitted to disclose that the College of American Pathologists has joined the Microbix family of customers. The College of American Pathologists is the world's largest provider of PT/EQA programs to support the quality management in clinical labs, and we're now supporting the QAP on some important PT/EQA programs, again, adding to our -- demonstrating our thought leadership, adding to our relationships and frankly, our revenue. So thank you, and welcome to the College of American Pathologists. So that takes us up to date on some of our disclosures. And maybe I can now ask Ken to comment further about our operational progress. Ken?
Kenneth Hughes: Right. Absolutely. Thanks, Cameron. On the operational side, as the group knows for the last couple of years, we've been building both capabilities and capacities at Microbix. And we continue to drive efficiencies in that regard to reduce production costs through operational excellence. We've been making more and more use of our electronic quality management system in this regard. We've been improving throughput in manufacturing and yields and also reducing the testing burden, which speaks directly into the associated costs. As Cameron said previously, we've added recombinant capabilities to our other classical and synthetic biology capabilities, and that's exemplified by the recent announcement of the SARS-CoV-2 antigen production and commercialization. The group will be unsurprised now to learn that there's a rich pipeline of recombinant products coming down the pike, and they will be used both for antigens themselves and for raw materials and supply chain for our QAPs production going forward, which again will secure supply chain and reduce costs and contribute to operational excellence. So really at the operational level, everything is going very well, and we think we're just going to continue to drive efficiencies, reduce costs, increase yields and then move on from there. So I really have to say about [ QAPs ] going very well.
Cameron Groome: Thank you, Ken. Ken, I'd be remiss if I didn't also ask you to just provide a little bit in the way of updates with our -- about our therapeutics program, Kinlytic. Kinlytic is for resolving blood clots in venous catheters. And I know we have some important upcoming meetings, and I don't want to get too far ahead of our skis, but maybe just give a hint that that's continuing to progress.
Kenneth Hughes: Absolutely. As we've discussed many times, the relationship with Sequel and their financial backers remains very strong with frequent constructive meetings. The work is proceeding at our drug substance, that's the purified urokinase molecule itself, contract manufacturer. It's also now proceeding at the drug product, which is the formulated and filled and finished the salable unit with our drug product contract manufacturer as well and in testing development. And in all cases, things are going very well. I said last time that Sequel and Microbix would be updating the U.S. FDA on progress with a formal submission in the new year, and that it was expected to be uncontroversial. Well, that's occurred, and it was as uncontroversial as expected. The FDA feedback was basically that they appreciated that we are updating production processes contemporary standards, looking to eliminate animal-based components and replace them with synthetic components, which is actually expected in those contemporary standards, and that's going very well. They also said that we should just carry on and continue to use the guidance they provided to us in our formal meeting in 2023. So that was great, uncontroversial, and we're just proceeding. The project as a whole is proceeding as expected. We're first going to address the USD 0.5 billion catheter clearance market, but now we're also looking at other geographies and catheter prophylaxis and looking at the logistics, the even more lucrative and bigger opportunities are related to pulmonary embolism, which includes peripheral arterial occlusive disease, deep vein thrombosis and stroke. So the relationship with Sequel remains good. The feedback from the FDA is constructive, and we're moving forward, as we said. So I have nothing negative to say on that project either. It's proceeding as it should and very well.
Cameron Groome: Perfect. And we'll continue to provide updates as we move forward as well in our written disclosures. I'll just highlight there is some expanded disclosure in the management discussion and analysis in terms of forward-looking information as well as in our management information circular on some of the performance feedback measures that we institute internally. So while those can be mind-numbingly boring documents to read, I do encourage those that want to take a deeper cut. We do expend some effort on those to make sure you're getting full plane and true disclosure in a timely manner. So do have a look if you've got interest or bandwidth. Those are available both on our website and at sedarplus.ca. Thanks, Ken. Thanks, Jim. As everybody can see, the whole Microbix team has been really busy adding to our capabilities, our product offerings, our client projects and our client relationships. And this is really all targeted towards delivering value to not just our customers, but of course, our shareholders as well. And we very much thank everybody for taking the time this morning to join us and for reviewing our results for the first quarter of fiscal 2026. With that, it's probably a great time, Deborah, to move over to questions. And if I can ask you to moderate on reading the questions, and we'll focus on giving the answers.
Deborah Honig: I'm here for it, Cameron. All right. So let's start with some investor questions. So was the sequential improvement at all due to seasonality?
Cameron Groome: I don't -- I wouldn't say so, no. I think that is -- there's always some issue of order timing and where a product may get finished and released by QC and QA to ship to a client, but there's no specific seasonality in that quarter. Jim, would you want to expand or differ on that?
James Currie: No. No, I would agree, Cameron. I don't think there was any seasonality that impacted between Q3, Q4 and Q1.
Cameron Groome: Great. Okay. Thank you.
Deborah Honig: And accounts receivable more than doubled versus Q4. Is there any unusual reason for that?
Cameron Groome: Yes. I think a resumption in client orders and the flow, just the timing of orders, what we carried over quarter end was a higher balance of receivables from product that have been shipped, but invoices not yet collected. And that was reflected in the cash flow from operations figure reflected that increased flow of working capital into accounts receivable. But as Jim has indicated, those receivables have since been collected, moving our cash balances higher and our receivables figure lower. So just the normal business flow there and what was carried across a quarter end snapshot of the balance sheet.
James Currie: Yes. Timing of shipments has an impact on it, typically, I guess, in Q4, the shipments were earlier in the quarter, and we collected a good portion of them during the quarter, whereas in the first quarter of this year, we had a fair number of shipments that went out in December and obviously weren't collected by December 31.
Cameron Groome: Yes. And our vast majority of our sales are business to business. And we're -- normally, it's a very rare situation that we ever have a bad receivable, and I don't think I've ever recalled anything -- any provision annually in excess of maybe $50,000, Jim?
James Currie: Yes. We've kept a provision of $35,000 for quite a while because we have next to no write-offs from our customers.
Cameron Groome: It's not to say somebody doesn't push it out a little bit on the collection -- on the payment timing, particularly. Some clients have a regular habit of doing that, but they are all creditworthy.
Deborah Honig: Okay. Great. And then OpEx in the quarter -- OpEx was low in the quarter. Is that a seasonal effect? Or should we see OpEx stable going forward?
Cameron Groome: Take it away, Jim.
James Currie: Yes. I mean, seasonality, I don't know whether you call it seasonality, but for some reason, Q1 always tends to be a lower spend level from an OpEx standpoint. Some of it's due to the fact that the -- for instance, from the sales and marketing front, not as much activity on the trade shows, et cetera, in the first quarter. We'll start to see that bump up in Q2 and Q3 as there's been a number of trade shows that have been attended and are being attended to in the next -- in the coming months. So that impacts us as well as our R&D spend. I think our R&D spend will go up. So I wouldn't expect the operating expenses to stay at the Q1 level, but they're not going to jump up dramatically throughout the year. I mean we've been pretty consistent recently with our operating expenses.
Cameron Groome: Yes. And this is very much holding the line on the expense side as we build the revenue side of back up from some of those customer setbacks.
Deborah Honig: And when will China purchases start for the next flu season? And are you seeing any signs of sales resuming there?
Cameron Groome: China is not the most transparent market. We've certainly been pushing hard at our distributor to get a good handle on that. We've not seen sales in China resume too much of an extent as yet. We're continuing to be told that it's a flu incidence and inventory being consumed from tests that were built for last season, but we've not yet seen a resumption in draw of antigen sales into China. So it continues at a very low level right now.
Deborah Honig: Okay. And -- what is the revenue potential with the College of American Pathologists?
Cameron Groome: Well, that client will certainly start well -- is well into the 6 figures for 2026, and we would view that as a -- we would be targeting them to be a meaningful 7-figure account for Microbix. So it comes with each additional program that we support and the rollout of new programs across the potential base of about 22,000 pathologists and labs that the college supports. Now not every lab is testing for every pathogen. So it's always a subset of that potential pool. And we look at modeling those as we go forward and seeing what it can be. But it is meaningful for us, and that's why we disclosed it, of course.
Deborah Honig: Got it. And when would you typically see China start buying again to the next flu season if they're going to?
Cameron Groome: I think we'd see that over the late summer to early fall, we should see what's going on there. And we've been supporting on Chinese manufacturers on some of the childhood disease testing, but principally in the respiratory disease side of things. And some of the immunologic testing that happens in China, there's a lot of air pollution is an issue in China as is a large population in concentrated urban centers. So oftentimes, people can have low-level infections and you're really not going to get useful information out of PCR tests if somebody has a low-level infection, but that's really not the problem. So the immunologic tests are used looking for an acute phase antibody reaction indicative of an active walking pneumonia. And that's where we've been supporting testing in China. So it's really about the incidence of potential respiratory bacterial infections that we're supporting in China more than it is in relation to cold and flu. So the bad seasons, I think, are where our products get used more extensively and that form of testing is done more extensively.
Deborah Honig: Understood. Was Sequel always aware that animal components would need to be replaced with synthetic? Or is that new information?
Cameron Groome: No, we've all been aware of that from the very outset of the program, and that's felt not meat and potatoes work really to bring that up to contemporary standards. So this has always been on the -- completely well-known on the path for redevelopment and relaunch. So no surprises there.
Kenneth Hughes: Yes. None whatsoever. Let's remember that the original urokinase, Kinlytic, abbokinase, as was, production process was developed in the 1970s. And then the last time it was updated by Abbott before it became Kinlytic was just at the turn of the millennium. So not much of updating has gone on in the last 2 decades. The expectation is to bring it up to contemporary standards. Animal-derived products can be replaced by plant-derived versions thereof and indeed growth factors from -- derived from pigs or cows can now be replaced with recombinant versions. This is standard fare. It also goes down to the downstream, the chromatography resins and the filters that you can use to clean up feedstock are so much better these days and the levels of purity can be much higher can be realized. This is entirely expected. It's been discussed with the FDA. It's not required to eliminate animal components, but we're asked to make best efforts, which is just contemporary standard. And this is going very well, and that's why we had an uncontroversial meeting with the FDA. We're just doing what we agreed to do, and we're proceeding forward.
Cameron Groome: Yes. Well said.
Deborah Honig: Would you expect any big QAPs customers will shift to commercial sales with any of your products this year?
Cameron Groome: Repeat that to me?
Deborah Honig: Would you expect that any big QAPs customers will shift to commercial sales with products? I think they're asking, are you expecting any large orders?
Cameron Groome: Yes. We are certainly targeting large orders and large programs with different major multinationals. But again, that's aspirational. That's not forward-looking information. We will announce agreements again, when they're signed, sealed and delivered. We -- the fish may be on the line, but thank you. We'll announce it when it's been reeled into the boat and is in the cooler, not when it's on the line. Thank you. So yes, there are multiple large clients with significant projects that we're working on now. And when those reach a point at which we can make specific disclosures, we'll do so.
Deborah Honig: And are any of the large orders expected for products that are commercial, not in development?
Cameron Groome: Just thinking. Yes. Typically, they are -- they can be for an existing assay on an existing instrument platform and in which case you're replacing an incumbent supplier. They can be for a new assay on an existing instrument platform, in which case you're -- there is a large installed base of instruments, but the assay is new. And then there can be a new assay on a new instrument, in which case, of course, there isn't an installed base. So we're working across each of those categories in our efforts to secure new client programs as well as new clients. And you see some of that, for example, with Seegene, Mexico. Well, that is a support for an existing assay on an existing instrument, where they're penetrating new markets, in this case, Mexico and -- or you can have in the case of Sekisui in the United States, where it is support for a new assay on a new instrument in a new market. So each of these will accelerate and have a different shaped S-curve for adoption. But that's a little more granular than we're prepared to go and really investors have to rely either on the analysts or themselves to model out those expectations. That's a little more liability than we're willing to take on. Thank you.
Deborah Honig: Last question here. So last webinar, you indicated a 30% increase in revenue off the 2025 low point for fiscal 2026. That seems affirm today and today's results were said on plan. Microbix also expected profitability in fiscal Q4, July to September quarter. Do you still expect profitability to be reached by Q4?
Cameron Groome: I think we're targeting to get back into the $5.5 million to $6 million range, and that's our breakeven point there. I think profitability in Q4 may be a bit of a -- there won't be -- there shouldn't be a meaningful loss in Q4, but I don't think there'll be significant profitability based on the numbers we're looking at currently. Now that's things, again, that's based on orders we can reasonably anticipate at the present time, we could well exceed those numbers if some of the new business development projects that we're hunting land and begin to generate revenues in that -- in those final quarters. But again, we're setting annualized revenues at 30% above the Q3 low point. So in the $18.5 million to -- $18 million to $19 million range for the full year is a reasonable expectation, and that's the sort of budget targets and that will be distributed quarter-by-quarter based on order timing and when we actually ship product. And that's consistent with the forward-looking information that is in our management discussion and analysis that you should be relying on if you're looking for detailed information rather than the more off-the-cuff commentary I can give here.
Deborah Honig: Congrats on the success with FDA and on the uncontroversial feedback. What is the timing for final FDA approval?
Cameron Groome: Well, tough to know on FDA approval because the FDA can be faster or slower to review a file. What we're working to generate is the best possible supplemental Biologics Licensing Application or sBLA filing that we can generate. And there's some moving parts always on that based on the package that we can generate. So what we're doing now is the most robust modernization of the drug substance manufacturing, and then we'll be completing as another step of the formulated drug product, that's the final product in the vial. And then we'll be doing as many purity and potency assays on that as we can preparatory to an sBLA submission. And that certainly won't be in 2026, but I think we can look for that in the latter part of 2027, and that's remained a consistent target for us, but there's any number of moving parts to that equation.
Kenneth Hughes: I would just add, yes, 2027 was the stated target at the beginning. It remains the same based on what's going on. We have parallel drug substance and drug product development. So the technical aspects are going expeditiously. We're at the mercy of the regulator. They can be very quick. But there is a market demand for urokinase. We have a monopolist that has difficulty supplying or servicing the market right now. And I think we've already told the group that the European regulators have already reached out to us to ask us not to forget about them and their market. So they want the urokinase product on the Kinlytic product on the market as well. So there is a driver there, but there is politics and there is capacity at the regulator. But right now, 2027 remains the goal.
Deborah Honig: A follow-on question here. Has FDA confirmed the sBLA is okay given the replacement of animal products with synthetic?
Cameron Groome: There's no -- sBLA has not been filed yet. So that happens at the end of the process. So what we're continuing to do is keep the FDA updated through the process. So this is a touch point, not an endpoint.
Kenneth Hughes: The replacement of animal-derived components with either plant-derived or recombinant components is entirely expected and entirely uncontroversial. This is just part of the engineering of a process. It has no effect on the sBLA or the regulatory filing. It's just doing things according to contemporary standards. It's been discussed since day 1. It's not perceived to be in any way a controversial situation. Why would you use an animal component when a synthetic one is available?
Cameron Groome: Exactly.
Deborah Honig: So the filing path remains the same?
Kenneth Hughes: Absolutely.
Cameron Groome: Correct. Yes.
Deborah Honig: And can China use the antigens they have in inventory? Or do they need new antigens for new strains?
Cameron Groome: The antigens are designed to work across multiple strains. So inventory kept at minus 80 has a long shelf life. If the product however has been incorporated into a test, then it has a defined shelf life. And tests can either be -- ingredients have a long shelf life, finished tests have a defined shelf life and they either have to be sold or they risk expiring unused.
Deborah Honig: Got it. And can you update us...
Cameron Groome: Yes, go ahead.
Deborah Honig: Sorry, go ahead. No, no, no, you go ahead. I'm switching gears.
Cameron Groome: Yes, I was just going to say, it's always more challenging when you're once removed from the client relationships and working through a distributor to get that kind of detailed intelligence. And that's -- we have not, however, built boots on the ground sales infrastructure in China. That's something a little beyond our current aspirations.
Deborah Honig: And can you update us on the NCIB for the quarter and looking forward?
Cameron Groome: Absolutely. Well, we renewed the NCIB. This is the normal course issuer bid for those that don't speak financial. And that's otherwise known as the share buyback program. So we renewed that in early December. And under the normal course issuer bid renewal, we're allowed to buy back a certain number of shares every week and react to one block trade per week. But Jim, maybe I'll ask you to touch on the specifics of the renewal, what we're currently doing and what we've done so far this year.
James Currie: Yes. Under the renewal -- to be honest, I can't remember the exact number. It's in excess of 20,000 shares per week that we can acquire, but we've...
Cameron Groome: Per day, Jim.
James Currie: Per day, sorry. Thank you. But we've chosen to currently repurchase at a level of 15,000 per day given our current situation. And we've -- since in Q1, we acquired about 700,000 shares at a cost of about $175,000. And through January and today, we've repurchased approximately 1 million shares to date. That is both the old NCIB through December 9 and the new one starting December 9, 2025. And our plan is to continue repurchasing at the 15,000 per day level unless we see a reason to change that.
Cameron Groome: Yes. And this is really -- thank you, Jim. This is really striking a balance between more than offsetting any usage of -- for stock options, but over roughly a 250-day business day calendar year, repurchasing at 15,000 shares a day will result in the repurchase of about 3.75 million shares, well in excess of any option awards that are granted. So the company continuing to be in a net anti-dilutive position, but not burning through an excessive amount of our cash. Now, as we see landing large new client programs, we may get more aggressive on that and move up to the full daily repurchases as well as potentially blocks. But currently, we're moving between -- at a heightened level, last year, we were buying back 12,000 and change a day. So we are buying back more shares on a daily basis this year, and we have the potential to move up to that maximum. And I did pull up, but I'm not pretending this is from my memory either, but I did pull up the daily maximum is 20,339 that we would be able to buy back per day, and that's based on 1/4 of the average daily trading volume on the shares of the TSX for the most recently completed 6 months prior to the renewal, drives some mechanics of that.
Deborah Honig: Great. I don't see any other questions. Cameron, do you want to give some final thoughts?
Cameron Groome: Yes. I mean, for concluding thoughts, as Ken said, we continue to build the capabilities and capacity, but also we're continuing to demonstrate some real thought leadership within our industry and across our different customer categories. And we continue to add new client relationships in the PT/EQA provider space with the major test makers, test manufacturers and with individual clinical lab customers. So we're not only seeing an increase of revenues -- an increase of customers, but we're seeing an increase of touch points with those customers, and that's driving not only revenue growth, but dispersion of our revenues across a greater number of customers, which ideally reduces volatility going forward. So we're doing the right things for the right reasons. And I think you're seeing that reflected in the number of great customers that we're engaged with and as well as the financial results that we're going to be -- have reported and are going to be reporting.
Deborah Honig: Well, it's good to see you making progress. Thank you all 3 for your time this morning. Thanks to the audience for your participation and your questions. As always, if anyone has any follow-up questions or would like a meeting with management, please feel free to reach out to myself. I'd be happy to set that up. And yes, thanks, everyone, for your time.
James Currie: Thanks, everyone.
Cameron Groome: Thank you.
Kenneth Hughes: Thank you, Deborah.
Cameron Groome: Thank you so much. Thanks, everybody. Thanks, Deborah.
Kenneth Hughes: Take care, guys.